Operator: Good afternoon, ladies and gentlemen, and welcome to the Aurubis Analyst Call. [Operator Instructions] Let me now turn the floor over to Elke Brinkmann.
Elke Brinkmann: Good afternoon also from my side and a warm welcome to the conference call on the full year results of the fiscal year 2024-'25 of Aurubis AG. We, from Investor Relations are here with our CEO, Toralf Haag; and our CFO, Steffen Hoffmann, who will present the figures for the 12 months of 2024-'25 and current developments at Aurubis. After the presentation, the floor will be open for questions. [Operator Instructions] Before we begin, a brief reminder of the disclaimer on forward-looking statements. Today's capital markets presentation contains forward-looking statements about Aurubis plans and expectations. These statements involve risks and uncertainties that could cause actual results to differ materially from those anticipated. Let me now turn the floor over to Toralf Haag.
Toralf Haag: Thank you, Elke, and welcome, everybody, to our conference call for the full year results for the fiscal year 2024-'25. Aurubis looks back on a successful year in which our competitor strengths have once again been the foundation of our resilience. The past fiscal year was characterized by a highly dynamic market environment with unprecedented shifts in the market. The concentrate market swung into a deficit, motivating Asian smelters, in particular, to substitute copper scrap for concentrate. Developments that send TC/RCs and scrap RCs on a downward trajectory. Thanks to our multimetal excellence, our sustainability leadership but also our closing the loop activities with our customers, we were able to fully supply our primary and secondary recycling smelters. At the same time, demand for metals searched where trade measures redirected material flows and created local deficits. As an integrated copper producer, we were able to reliably supply our customers and ensure the flow of critical metals to strategic relevant industry sectors. Overall, we managed market challenges well, while also achieving key milestones in our strategic growth agenda. One was first melt Phase 1 of Aurubis Richmond. We are well on track and our robust business model was a cornerstone of our resilient performance in the past fiscal year. On the next page, I would like to give you an overview of the key financial highlights for fiscal year 2024-'25. In line with our sharpened guidance range, operating EBT came in at EUR 355 million. As highlighted before, this result was achieved in a challenging economic environment and includes the successfully completed major shutdown in Pirdop. EBITDA was at EUR 589 million versus EUR 622 million in the prior year, reflecting our solid operational performance. Operating ROCE decreased to 8.8% compared to 11.5% a year ago. This is primarily due to our ongoing strategic investment program, which is increasing capital employed until the full earnings contributions come through. Net cash flow was a strong EUR 677 million, significantly above the prior year's EUR 537 million level driven by the robust earnings situation and a clear improvement in working capital. Q4 was outstanding with EUR 319 million net cash generation alone. On the back of a healthy cash generation in Q4, free cash flow, pre-dividend improved by more than EUR 100 million from minus EUR 219 million in the previous year to a minus EUR 95 million. On this basis, we are proposing increasing the dividend to EUR 1.60 per share, up from EUR 1.50, which underlines our confidence in the business and its cash generation. Looking ahead to the next fiscal year, we are confirming our forecast of an operating EBT between EUR 300 million and EUR 400 million, which is expectedly roughly on par with the 2024 and '25 level, as well as free cash flow in a positive territory. Turning on the next page to our production figures. I would like to highlight once again that Aurubis is much more than just copper. We have a wide array of strategically relevant metals. On the input side, we processed around 2.2 million tonnes of concentrate a slight decline of 4% year-over-year, reflecting the planned maintenance shutdown in Pirdop and operational issues in Hamburg at the beginning of the year. At the same time, we increased copper scrap and blister input by about 3%, totaling 510,000 tonnes, demonstrating our ability to source and process secondary raw materials. Other recycling material throughput was down by 6% to 510,000 tonnes. On the output side, copper cathode production was stable at 1.1 million tonnes. In line with concentrate throughput development, we reduced roughly 2 million tonnes of sulfuric acid. The picture for other industrial metals, along with precious and minor metals is mixed. While some quantities exhibited fairly stable development or even increased, other metal quantities such as gold dropped versus the prior previous year, which is, to a large extent, a collection of the feed mix in connection with lower throughput levels. Our output of wire rod and copper shapes was on par with the prior year level. Flat rolled products and specialty wire volumes, however, were down 31%, mainly because of the previous year figures included volumes from the Buffalo plant, which we sold. Overall, our smelter network showed a solid operational performance. Our unique smelter network allows us to supply high-quality products from both primary and secondary sources with a high share of recycled content. As you can see, the share of recycled content in Aurubis copper cathodes has increased by 1 percentage point to 45%. And all of our copper products contain a sizable share of recycled content as well. We recovered 20 different metals and elements that are contained in our raw materials, such as tin. And here, we achieved even 100% recycled content, which highlights our strong position in circular economy solutions. This is the key strength of our network of plants in Europe and North America and is also a clear competitive advantage in securing supply and delivering sustainable products. Let me now run through the market environment of our main products and raw materials. Starting with the downstream side. European copper premiums increased significantly after the U.S. tariff decision. And although they came down from the elevated levels in Q4, they stayed clearly above last year's level. Sulfuric acid prices declined from prior year peaks but stayed stable at a relatively high level, supporting our earnings in the CSP segment. On the raw material side, according to industry reports, treatment and refining charges for copper concentrates on the stock market had fallen into negative territory in the recent quarters. They have now stabilized but remain at very low levels, reflecting the tightness in the concentrate market. This has been strained further by major main disruptions -- mine disruptions towards the end of Q4. Furthermore, tightening scrap markets led to declining refining charges for recycling materials, particularly in Q4. Overall, we saw favorable development on the product side but faced headwinds from raw material markets, especially for concentrates and scrap. However, please bear in mind that there are no direct one-to-one correlation with our P&L. We are actively managing to remain independent for short-term fluctuations. Let me now turn to the price development of -- for key metals in the U.S. dollar. As you are all aware, gold and silver prices increased sharply in Q4 of '24-'25 up 44% year-over-year and at new all-time highs, driven by macro and geopolitical factors. In comparison, copper prices remained relatively stable with a moderate increase towards the end of the quarter. This favorable development of key metal prices positively contributed to our metal result as we will see later. The U.S. dollar euro exchange rate moved into a tight range over the period with the U.S. dollar depreciating from the levels at the beginning of the year. Aurubis long U.S. dollar position remains unchanged at approximately USD 530 million for the fiscal year with 54% of the U.S. exposure hedged at a rate of 1.125 for the fiscal year '26-'27, around 40% of the exposure is hedged at a rate of 1.188. And now I hand over to Steffen Hoffmann for more details on the financials.
Steffen Hoffmann: Thank you, Toralf, and a warm welcome from my side too. Let me take you through the financial details of fiscal year '24, '25 and touch on the KPIs in this chart. Our revenues increased by 6% to EUR 18.2 billion, mainly reflecting higher metal prices. Gross profit decreased slightly by 4% to EUR 1.6 billion as did EBITDA, which came in at EUR 589 million, which is minus 5%. Operating EBIT came in at EUR 358 million and operating EBT at EUR 355 million, 14% below the prior year. Compared to the EBITDA, the decrease of the EBT was more pronounced as in '24-'25. Depreciation increased by EUR 20 million as planned due to our strategic projects. A higher metal result significantly increased earnings from sulfuric acid a robust contribution from product sales, as well as lower legal and consulting costs positively impacted the result. However, lower concentrate throughput and reduced TC/RCs lower earnings from processing of recycling materials and the anticipated higher ramp-up costs and depreciation for strategic projects weighed on the results. Net cash flow improved significantly to EUR 677 million from EUR 537 million, underscoring the strong cash generation of our business. Our operating ROCE for fiscal year '24-'25 was 8.8% against 11.5% the year before, reflecting the investment phase we are currently in. Looking on the next chart at quarterly performance. Q4 showed clear improvement over Q3. Our operating EBT increased by 19% to EUR 68 million. Higher concentrate throughput following the successful completion of the Pirdop shutdown in Q3 supported earnings despite lower TC/RCs. Please keep in mind that the shutdown was completed in Q4, so a minor portion of the shutdown still affects Q4. In Lunen, we recognized a EUR 10 million environmental provision in Q4, while Q3 was impacted by EUR 12 million additional depreciation on the at equity investment. Net cash flow almost doubled quarter-over-quarter to EUR 319 million, mainly due to the significant improvement in net working capital. Moving on to the split of our gross margin, which is a nice representation of our multimetal strategy and the diversification of our earnings drivers. You saw this breakdown at our Capital Market Day, and we decided to provide you with the same breakdown for the 12-month period as well. In total, gross margin was at around EUR 2.077 billion, broadly in line with the prior year level of about EUR 2.1 billion. Please bear in mind that our former FRP site in Buffalo was still included in the overview for fiscal year '23-'24. Compared to the previous year, the metal result share increased mainly on account of strong precious metal prices but the higher copper price contributed as well. Here, we see again that Aurubis is more than just copper. We are multimetal and we will continue to strengthen this profile through targeted investments. However, declining concentrate TC/RCs weighed on the overall gross margin, while the scrap RC share remained stable. Still, our strategy of building on long-term partnerships and more complex materials shielded us to some extent from the extreme developments visible on the spot market. In products and premiums, higher asset prices supported the group's gross margin, partially counteracting the TC/RC decline. And with respect to product premiums, I'd like to reiterate that Buffalo was still included in the previous year. Overall, the balanced mix of these earnings drivers helped us to mitigate volatility in individual markets and once more underpins the resilience of our business. Let me now go into segment performance, starting with Multimetal Recycling. MMR generated an operating EBT of EUR 13 million compared to EUR 79 million in the previous year. Operationally, the throughput of recycling materials was slightly above the prior year level. However, in an environment of declining refining charges for recycling materials. The second half of the fiscal year was characterized by a challenging market environment with an impact on RCs, volume and mix. Additionally, compared to fiscal year '23-'24, the segment's performance was impacted, in particular, by higher ramp-up costs for strategic projects, especially at Aurubis Richmond, and furthermore, as we've alluded to, an impairment on an equity investment in the amount of EUR 12 million and a provision for a planned environmental measure in the amount of EUR 10 million weighed on the segment's performance and can be treated as a one-off. The ROCE declined from 5.6% to 0.9%, reflecting both the lower earnings level and the increase in capital employed, mainly due to Richmond. Overall, we are not happy with this level at MMR and we'll focus on improving the financial performance going forward. Turning to the segment's gross margin. Overall, the gross margin increased slightly to around EUR 640 million versus EUR 623 million in the prior year despite the tightening scrap markets. This increase is attributable mainly to the segment's metal result which benefited from higher metal prices. refining charges for recycling input were stable and contributed roughly 45%, very close to last year's 46%. Contribution of products and premiums in MMR remained flat compared to the previous year. Let's now take a look at the Custom Smelting & Products segment. CSP delivered an operating EBT of EUR 446 million versus EUR 458 million, so almost at the prior year level despite the deterioration of concentrate TC/RCs. The ROCE for the segment was 18.2% compared to 19.6% last year, influenced again by a higher capital base due to investments. Concentrate throughput was at 2.18 million tonnes and sulfuric acid production at roughly 2 million tonnes, both slightly below the prior year due to the major plant shutdown in Pirdop. Cathode output rose slightly to 582,000 tonnes, and rod and shapes volumes remained broadly stable. FRP products and specialty wire volumes declined to 90,000 tonnes mainly due to the sale of the Buffalo plant in the prior year. Overall, CSP showed good operational performance in a challenging market environment and delivered earnings broadly in line with last year, despite the Pirdop shutdown. Looking at the gross margin. This, in CSP highlights the different moving parts. Total gross margin was approximately EUR 1.44 billion, slightly below last year's level, reflecting lower global treatment and refining charges, as well as lower concentrate throughput. Accordingly, treatment charges for concentrate and recycling input contributed around 18% of gross margin, down from 24% in the prior year, mirroring lower TC/RCs and subdued scrap RCs. The metal result increased to 34% from 27% in the prior year, driven in particular by higher precious metal prices and higher copper prices. Products and premiums contributed 48%, roughly in line with last year's figure. This reflects significantly higher earnings from sulfuric acid and robust demand for copper products and here again, the reminder is that last year's figures included Buffalo for 11 months. So while TC/RCs were under pressure and throughput volumes were lower due to the shutdown in Pirdop, we successfully compensated with a stronger metal result and product contributions. Let us now take a look at cost development in the group. Total group costs were around EUR 1.9 billion, slightly below the EUR 1.98 billion in the prior year. Distribution among the cost categories was quite similar to last year. The decrease in total cost is largely due to the sale of the Buffalo plant and thus a lower asset and cost base. Personnel costs represented about 33% of total cost slightly increasing due to higher headcount, mainly for strategic projects, as well as wage increases. Our energy costs declined mainly on account of the sale of the Buffalo plant. For the remainder of the group, energy costs were stable due to energy management. Consumables and external services, both around 12% and at 22%, other operating expenses like logistics or maintenance were stable versus previous year. Depreciation and amortization increased as expected due to our strategic investments, bringing total D&A to about 12% of the cost base. Excluding D&A, our total cash costs decreased to EUR 1.665 billion from EUR 1.764 billion in the prior year, reflecting our cost discipline and portfolio adjustments. Turning to cash flow. We saw a very strong development in '24-'25. Starting from left to right, operating EBITDA of EUR 589 million is the starting point, reflecting our robust financial performance. Net working capital improved significantly driven by higher liabilities, partly offset by higher inventories. Tax payments, however, increased to EUR 92 million on account of the application of the global minimum tax rate in Bulgaria, as well as deferred taxes. This led to a net cash flow of EUR 677 million, clearly above the prior year's EUR 537 million. Cash outflows for investment activities remained high at EUR 754 million, mainly for Aurubis Richmond, complex recycling Hamburg and the planned Pirdop shutdown. Free cash flow before dividend was at minus EUR 95 million, which is a marked improvement versus the previous year's minus EUR 219 million figure and reflects that the peak of our investment phase is now behind us. In total, we paid dividends in the amount of EUR 66 million, which results in a free cash flow after dividends of minus EUR 160 million. Overall, we focused on strengthening the cash flow profile while executing large strategic projects. I would now like to move on to some of our balance sheet KPIs. Our equity ratio is 53.5%, slightly below almost 56% last year but very comfortably above our 40% target and above. Our net leverage is again very low at 0.5% and well below our maximum target of 3x EBITDA. Please take note that the capital expenditure of EUR 771 million on this slide includes capitalized own work. And for this reason, is slightly higher than the cash figure shown on the previous slide. Capital employed increased to roughly EUR 4.1 billion from around EUR 3.7 billion, reflecting the investment program. The net cash flow, as mentioned before, improved to EUR 677 million. So I think it's fair to say overall that the balance sheet remains very solid despite the high level of investments and the financial leverage remains low, giving us ample flexibility. The next slide is meant as a quick reminder of our updated capital allocation policy and our clear commitment to maintaining a strong balance sheet while pursuing disciplined growth and shareholder returns. Besides aiming to keep the equity ratio above 40% and maintaining a maximum net leverage of 3x EBITDA at the fiscal year-end, we provided guidance on how to allocate available capital among approved growth projects and baseline CapEx, as well as dividends. For the latter, we sharpened our dividend policy at the CMD and foresee a payout ratio of up to 30% of the group's operating consolidated net income in the medium term for fiscal year '24-'25, we stated that we would aim for a 25% payout ratio since the last fiscal year was still marked by high investment activity. So what's now our concrete dividend proposal on the next chart. Our operating EPS was at EUR 5.97 in '24-'25, down from EUR 7.66 in '23-'24. Main reasons for the decline were the lower operating EBT, as well as higher tax payments due in part to the higher corporate tax rate in Bulgaria, which I mentioned before. Despite the lower earnings base, we propose increasing the dividend to EUR 1.60 per share up from EUR 1.50 per share last year, continuing the gradual upward trajectory in absolute terms. This would correspond to a payout ratio of 27% which is above the 25% target for the transition year that I've just mentioned. It once more underscores management's confidence in the business and its outlook. While this would increase the absolute dividend, the dividend yield is lower than in previous years due to strong share price performance. Still, the absolute dividend amount and our policy reflects a clear commitment to shareholder renumeration. Looking ahead to fiscal year '25-'26, the mix picture for our main macro drivers that we presented at the CMD remains largely unchanged. Raw mat supply is not ideal but manageable thanks to our long-term contracts and market position. As many of you are aware, concentrate supply remains tight, and we remain cautious despite some hopeful news flow in recent weeks. Hence, we expect TC/RCs to remain at the low level of the recent months. For RCs for recycling raw mats, we expect a stable outlook, although recent months presented more of a mixed picture. Keep in mind that visibility in these markets is generally limited. The euro-U.S. dollar exchange rate remains affected to watch as it has developed less favorably for us in recent months, but we manage our exposure through our hedging and commercial policies. The sulfuric acid market is of a more short-term nature as well. And prices have normalized from previous peaks but are still at a sound level. We continue to see healthy demand from the chemical and fertilizer sectors, although with more volatility compared to the previous year. Metal prices and demand for our products are expected to remain supportive overall, especially given structural trends such as electrification and infrastructure investments. In total, we expect a challenging raw mat environment, though with positive contributions from metals and products. Despite the somewhat mixed macro picture, we expect a sound '25- '26 fiscal year. We maintain our outlook for operating EBITDA between EUR 580 million and EUR 680 million and an operating EBT in the range of EUR 300 million to EUR 400 million, roughly at '24-'25 level. Bear in mind, please, that the EBT level mentioned includes higher depreciation in the order of EUR 50 million. For CSP, we expect an operating EBT of EUR 280 million to EUR 340 million. On the one hand, this range reflects the lower TC/RC level that affected fiscal year '24-'25 only in part and will now affect '25-'26 on a full year basis. On the other hand, besides headwinds from the euro-U.S. dollar rate we anticipate higher costs for footprint expansion due to strategic projects like CRH or Tankhouse expansion Pirdop. Higher depreciation will weigh on the segment's financial performance as well. On the other side, increased material prices, high demand for copper products and improvement in operational performance will offset the challenges but only partially. Still, considering that we are only 10 weeks into the new fiscal year, there might also be scenarios in which the segment's EBT comes in at the upper end of the guidance. For MMR, our expected operating EBITDA range is EUR 80 million to EUR 140 million. From today's perspective, we do not expect negative one-off items like last year and ramp-up cost in Richmond to impact the segment's performance in fiscal year '25-'26. Furthermore, increased metal prices and high demand for copper, as well as an improvement in operational performance should support the segment's earnings level. Regarding the development of recycling raw mat markets, we maintain a more cautious view and higher depreciation at segment level will partially counteract the positive items. Also here, they are still 40 weeks ahead of us in this fiscal year. We anticipate net cash flow in the range of EUR 640 million to EUR 740 million, driven by a strong operating performance and further working capital management, which would translate to free cash flow before dividend at breakeven, reflecting the combination of reduced investments and cash generation improvements. Operating ROCE is expected between 7% and 9% with CSP at 11% to 13% and MMR at 6% to 8%, mirroring the increased capital employed from the investment activities mentioned. Overall, we confirm our previous guidance and expect another solid year. To help you frame the guidance, this slide, which we presented in detail at the CMD, schematically shows how our price change of 10% versus our assumptions for fiscal year '25-'26 would impact our EBT, a 10% change in concentrate TC/RCs, recycling RCs or sulfuric acid prices. Each translates into a low double-digit million euro impact on operating EBT for '25-'26. A 10% change in the euro-U.S. dollar rate or the copper premium would lead to a low to medium double-digit million change of the EBT. The highest sensitivity is visible in the metal result, a 10% price change across the entire metal portfolio would translate into medium to high double-digit million euro impact. Again, this illustrates that the diversified set of drivers influences our results and the drivers that may have been expected to have a higher weight in the earnings composition I refer to TC/RC turn out to be less dominant. At the same time, we actively manage these exposures. On CapEx, we are now moving beyond the peak of our current strategic investment program. More than 75% of the existing EUR 1.7 billion strategic CapEx program has already been spent. And the remaining strategic CapEx will phase out gradually as shown here, basically almost everything of the remainder in the new fiscal year. You can see that total CapEx peaked in '23-'24, declined in '24-'25 and is expected to decline further in '25-'26 as major projects are completed or enter commissioning. Therefore, we are planning with the strategic CapEx in the amount of EUR 350 million, EUR 100 million lower than in fiscal year '24-'25. At EUR 320 million, our expected baseline CapEx falls at the lower end of the EUR 300 million to EUR 400 million range, reflecting our CapEx discipline and the change in our primary shutdown cycle. As strategic projects come on stream, depreciation and amortization will gradually increase, reflecting the higher asset base. As mentioned before, DNA is anticipated at EUR 50 million above the prior year level. And with this, I'd like to hand back over to Toralf.
Toralf Haag: Thank you very much, Steffen, for taking us in detail through the financials. The next slide we presented to you at our CMD at our Capital Market Day, and I would like to briefly repeat our path forward to frame the next slide. The decade of metals has begun and megatrends such as electrification, energy infrastructure, artificial intelligence, and global security are supporting long-term demand for our products and capabilities. Our ambition is to forge resilience and to lead in multimetal delivering impact across five strategic pillars: focused growth, innovation, efficiency, commercial excellence and impact from our investments. We are targeting value-creating growth, where we hold a leading competitive position, and we aim to maximize multimetal yields through innovation in metallurgical know-how. We continuously optimize our operations for peak efficiency and strengthen our commercial excellence to deep market access and competitiveness. This is underpinned by three key enablers. Sustainability leadership, our performance culture and financial strength. In the fiscal year, '24-'25, we successfully advanced projects into the in-commissioning phase. Including Bleed Treatment Olen Beerse, Aurubis Richmond Phase 1 and the third Solar Park in Pirdop. BOB has already started commissioning in December '24, and the first phase of Aurubis Richmond celebrated first month in September '25 and is now in the early stages of hot commissioning. Looking ahead to the current fiscal year, important projects such as Complex Recycling Hamburg, Aurubis Richmond Phase 2 and the Tankhouse expansion in Pirdop are planned to go into commissioning and expand our multimetal network. Projects such as Slag Processing in Pirdop and the new Precious Metal Refinery in Hamburg are still further out with commissioning scheduled in the fiscal year, '26-'27. These projects will create impact by enhancing our recycling capacity improving efficiency and supporting our sustainability and growth ambitions. In the next few minutes, I would like to highlight the 3 key projects for '25-'26 in more detail. First, Complex Recycling Hamburg or CRH, is expected to start commissioning in the first half of the current fiscal year and will further optimize the metallurgical network in Hamburg. The facility will show -- will allow for about 30,000 tonnes of additional external recycling input per year, increasing our ability to process complex secondary materials. From a gross margin perspective, the project will contribute to strengthen the metal result, as well as our earnings from TC/RCs and RCs. Second, Phase 2 of Aurubis Richmond in the U.S. will double the intake capacity for complex recycling materials to 180,000 tonnes. Commissioning will be followed by a technical ramp-up phase, after which we expect a material contribution to earnings. Once fully ramped up, Aurubis Richmond will contribute to increasing TC/RCs and RCs, as well as the group's metal result. Third, the Tankhouse expansion in Pirdop will enable us to process Pirdop's entire anode production directly on site, adding around 50% more refined copper production capacity at the site. This additional cathode production will mainly add to the group's earnings from product and premiums, while also supporting the metal result to a lesser extent. Together, these projects support our multimetal strategy, strengthen our footprint in Europe and North America and further enhance our resilience. Our commercial excellence pillar, specifically target strengthening the relationship with our partners, downstream but also upstream in particular. Secure competitive raw material supply is crucial for Aurubis. Here are some of the key agreements we concluded. With Troilus Gold in Canada, we signed an offtake agreement for 75,000 tonnes of copper-gold concentrate based on a positive feasibility study supported by a German government financing package. Our metallurgical capabilities and ability to process complex raw materials allow us to unlock resources and create value together with Troilus.  With Viscaria in Sweden, we have agreed on 25,000 tonnes of copper concentrate deliveries from 2028 to 2035, with an option for extension. This mine project has a strong ESG profile and strengthens European supply. With Teck Resources, we signed a memorandum of understanding, collaborate on responsible mining and sustainability, focusing on traceability, transparency of ESG performance and credible certification frameworks, building on our long-standing partnership. In our collaboration with both Viscaria and Teck, our authentic sustainability leadership has been key to building and further strengthening the relationships. These agreements support our long-term raw material security, enhance our ESG positioning and contributes to the resilience and competitive of our supply portfolio. To summarize, 2024-'25 was a successful fiscal year for Aurubis. Despite planned maintenance shutdowns, one-off items and a challenging market environment, we delivered a solid EBITDA of EUR 589 million and an operating EBT of EUR 355 million, which was comfortably within our guided EBT range. Cash generation improved significantly as is reflected by net cash flow of EUR 677 million, and we aim to improve it further going forward. We reached key milestones in our strategic product including the first melt at Aurubis Richmond. The proposed dividend of EUR 1.60 per share represents a payout ratio of roughly 27% and reflects our confidence in the business and its long-term prospects. For 2025-'26, we expect an increased metal result and higher contributions from our product business. This will compensate for challenging raw material markets. With declining annual CapEx, we expect free cash flow generation to improve to a breakeven before dividend, while we confirm our guidance for an operating EBT of EUR 300 million to EUR 400 million, broadly at the '24-'25 level. Overall, we are well positioned to benefit from structural megatrends and to continue delivering on our performance 2030 strategy. Let me close the presentation by reiterating what makes Aurubis stand out. First, we have a strong market outlook. The decade of metals has begun, and megatrends are expected to drive double-digit growth in our end markets by 2035. Second, Aurubis holds a leading position as a top copper and multimetal producer in Europe and the U.S., with a unique setup of capabilities in primary and secondary metallurgy. Third, our strategy focused on growth and resilience, leveraging multiple earning drivers to increase our leadership in multimetal and our impact, efficiency and robustness. Fourth, we deliver strong financials. On the back of a world-class operations and focused investments, we aim for steady EBT growth and a 15% long-term ROCE target. Fifth, we are clearly committed to a shareholder value, combining value-accretive growth projects with an attractive dividend policy and potential additional returns of excess cash. In short, performance, resilience and multimetal leadership define Aurubis investment case. And with this, I would like to hand over to Elke Brinkmann.
Elke Brinkmann: Thank you, Toralf and Steffen. I would like to provide you with an outlook on the next event following our Q4 publication. We will publish our Q1 2025-'26 results on February 5, followed by the Annual General Meeting on February 12, '26. And with that, I would like to ask the operator to take over for your questions.
Operator: [Operator Instructions] And first up is Boris Bourdet from Kepler Cheuvreux.
Boris Bourdet: My first question would be on the recent developments you alluded to in your presentation regarding the recent discussions on TC/RCs. We've heard that the Chinese CSPT was committed to reduce the production by 10%. I was wondering whether that would change your view on TC/RCs marginally. And can you share with us where you would expect the benchmark to land, if any? And also from Slide 11 on TCs, I can make a rough calculation that -- it meant -- lower TCs meant EUR 90 million downward contribution this year. Is it the same kind of contribution you expect next year? That's the first question.
Toralf Haag: I'll start with the first question, and then Steffen can take on the second question. Yes, you're right, Boris. There was also a publication that the Chinese smelters plan to reduce the capacity, the production output by 10%. And we have not felt that in the spot TC/RCs. But we expect a slight recovery of the TC/RC level. But again, it's going to be a slight recovery in no major recovery.. But this is positive news which unfortunately only will have limited impact so far.
Steffen Hoffmann: And Boris, on your second question relating to TC/RCs, right? We are flagging that also for this year, we see an impact of declining TC/RCs for copper concentrates. So basically low TC/RC levels are rolling into our Aurubis average terms. You do know that, obviously, a big chunk of our contracts is already concluded. So call it, at this stage, roughly 85% of the contracts are concluded. So our exposure to direct spot rates is limited but some of the contract language has a certain link to recent market levels. And yes, the overall impact this year is around in the vicinity, let's say, from a year-over-year impact in an EBT bridge, it's a similar impact as we've seen last year versus the year before.
Boris Bourdet: And maybe 2 others. One question would be on yesterday's announcement by the European Commission about the RESourceEU program. It doesn't seem like copper is -- copper scrap is part of what is being discussed at the moment, but could be -- can you share your view on what could be expected from this and discussions you might have with the European Commission?
Toralf Haag: Well, as you said, this recently announced RESource program does not have copper in the focus. We are more relying on the Critical Raw Materials Act, which was published a while ago, and we are in constant discussions with the European Union to secure more raw materials in Europe, number one, by focusing and allowing -- permitting more mine projects in Europe; and secondly, to limit the export of secondary material out of Europe. So those are the two cornerstones of increased raw material availability in Europe but these discussions are taking their time.
Boris Bourdet: Okay. And regarding the one-offs you mentioned during the call, so the EUR 12 million impairment on the JVs plus the EUR 10 million provision at Lunen. Was that already part of the guidance? Or was that a last minute surprise, meaning that without this, you might have ended up quite above consensus expectations for the full year results? And what exactly is that equity impairment for the JVs?
Steffen Hoffmann: Boris the two one-offs that you have alluded to that we disclosed separately have been baked in the full year guidance. For example, when we were exchanging with you and the capital market around the CMD, we included that. So we were not surprised by that. On the equity adjustment or the participation. We have said it's in the MMR segment. It's in the recycling segment. it's related to a battery recycling participation. And in the annual report, you can also find the name. So that's why I don't ask you to go -- to find it out yourself, the company is called Librec, it's a Swiss participation that we are engaged in the battery recycling environment. Obviously, we all know that some of the key premises on the battery recycling market in EU are developing -- are moving time-wise a bit more to the right. So we felt that it was right to take a correction here.
Operator: Next up is Bastian Synagowitz from Deutsche Bank.
Bastian Synagowitz: My first one is on Richmond. So I'm basically just wondering whether everything so far is going according to plan. And are there any roadblocks which have come up -- which have come up since you started the smelting process? And are you also generally happy with the metal KPIs and the performance from what you're seeing so far? That is my first question.
Toralf Haag: Yes, Bastian, yes, Richmond is going according to plan. We are now, as we have said, in Phase 1, we had some charges where we were smelting simple scrap. Now we are in the process of smelting more complex recycle materials. Right now, we don't see any major roadblocks, but it's too early to say if we meet our metal KPIs or not because we are still in the ramp-up phase. So we still need to have experience on two sides on the one -- the material mix we are getting in the U.S. in our recycled materials and number two, the production efficiency, that's still too early to say. But so far, it's on track.
Bastian Synagowitz: Okay. Great. And then on your supplier structure and portfolio, is this coming together as well as you were hoping to? And are you still confident that the availability for the materials you're actually looking for is there in the market and as good as you were expecting?
Toralf Haag: Yes. I mean we had experience in the U.S. market before because we had contact with suppliers for the supply of scrap material and recycling material for Europe. So they have been long-term relationships. The supplier structure is coming into place. We're getting the mix of different recycling materials in. So normal copper strap, also cables, but also more complex recycling materials like circuit board. So the supplier structure is there. The different materials are there. Like I said before, it's too early to make statements about what result we get out of this material and the efficiency.
Bastian Synagowitz: Okay. Great. Then my next question is on cash flow and probably one for Steffen. I guess when we look at cash flow in the fourth quarter, you performed actually quite well. I'm wondering whether this has raised the bar for the target for breakeven this year as well? Has this become more ambitious? Or is this very much as you expected, and you're still very confident to hit that target as well. I know you kept that target for breakeven, I guess, to some extent that answers it, but I wanted to just understand how far this may have become a bit more of a stretched target now.
Steffen Hoffmann: Yes. I think I can say that the way we could end the last fiscal year was slightly ahead to what we initially had in mind. So we had small smile on our face, let's put it that way. Now talking about '25-'26 and cash flow, we are expecting a net cash flow of EUR 640 million to EUR 740 million. And we've also said that the cash relevant CapEx would be expected to go down versus last year by roughly EUR 100 million. So depending on the point in the range that is chosen from a net cash flow guidance perspective, free cash flow breakeven could be rather modest or more significant I mean we still have 40 weeks ahead of us in the fiscal year. So let's not nail ourselves down on whether it will be exactly a breakeven before dividend or whether there is a slight upside, we are at the guidance where we are, and we are confident that we will achieve the targets. And that's what I think we can say at this stage.
Bastian Synagowitz: Okay. Great. Fair enough. Then my last question is just on, I guess, your maintenance schedule, and I saw that you've been bringing forward the smaller maintenance still set in Hamburg now into November, I think originally, there was scheduled for May. Was there any particular reason behind it? I guess it's a small one, so I wouldn't think so, but just wanted to understand what's been driving this.
Toralf Haag: No, Bastian. This is normal maintenance planning where we have different influence factors, the availability of materials for the maintenance. So it's a combination of many factors why the maintenance planning was adjusted, but no major incidents.
Operator: And we're coming to the next questioner, It is Adahna Ekoku from Morgan Stanley.
Adahna Ekoku: Can you help us with some more detail on the mix picture you're seeing for recycling RCs? How are the levels now as compared to the summer where I think European scraps RCs were at around EUR 250 per tonne. So where do these kind of stand now? And have you seen any green shoots at all to consider going into next year? Thank you.
Toralf Haag: Yes, Adahna, we have seen a slight recovery of the recycling markets when it comes to -- also when it comes to scrap when it comes to the tonnage and also a slight improvement of the RCs, but we have not seen a substantial improvement.
Adahna Ekoku: And maybe just to follow up on that, is that improvement from kind of any increase in economic activity or slightly lower exports or just kind of general improvement?
Toralf Haag: We think it's mainly the function of, again, a higher copper price and therefore, higher availability of copper scrap.
Operator: And the next question comes from Felicity Robson from the Bank of America.
Felicity Robson: Could you provide some color around timing on commissioning for a strategic project for next year, especially around the second phase for Richmond, please?
Toralf Haag: Well, Felicity, as we said in the presentation, we plan the commissioning of Phase 2 in the year -- in the calendar year 2026, it strongly depends on how we process now with Phase 1. So our current assumption is that we will commission it in the mid -- in the summer of 2026.
Operator: [Operator Instructions] And we have a follow-up question coming from Boris Bourdet from Kepler Cheuvreux.
Boris Bourdet: Thank you again. One broad question and one technical. The first is, what would you say has been the main change since the 8th of October where at the time of the CMD you have observed in the market? That's one question. And the second is on the tax rate, since there is a higher tax rate in Bulgaria. Would you share any guidance for the tax rate into next year?
Toralf Haag: Well, on the first question, what was changed since October 8? There are no major changes in our assumptions there's maybe slight changes that we have a little bit improved situation like we discussed before on the availability and on the RCs on the recycling market. And we have some positive news on the concentrate market when it comes down to China capacities but we have not seen a big recovery in the TC/RCs for concentrates. So very slight changes, no major changes.
Steffen Hoffmann: And Boris, on the tax rate, absolutely right, in '24-'25, we had a higher tax rate. I was alluding to that, 2 reasons one-off special item related to Buffalo on the deferred taxes. Secondly, a topic that's not a one-off, which is a topic to stay higher tax rate in Bulgaria, according to Pillar 2 now with a 15% minimum tax rate in Bulgaria. All of that resulted with the mix of results that we have from our footprint resulted to a tax rate of 26% and in last fiscal year. And I would assume that we are in the same ballpark also for this fiscal year.
Operator: [Operator Instructions] Thank you. There are no further questions.
Elke Brinkmann: Okay. Thank you. The IR team will, of course, be happy to answer any further questions you may have. We would now like to close today's conference call, and thank you for your attention. We wish you a pleasant rest of the day and a beautiful Christmas time. Thank you and goodbye.